Operator: Good afternoon. My name is Chris, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Planet Fitness Fourth Quarter 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there’ll be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the conference over to Brendon Frey. Please go ahead. Brendon Frey Thank you for joining us today to discuss Planet Fitness's fourth quarter 2019 earnings results. On today’s call are Chris Rondeau, Chief Executive Officer; Dorvin Lively, President; and Tom Fitzgerald, Chief Financial Officer. Following Chris and Dorvin's prepared remarks, we will open the call up for questions.  I would like to remind you that certain statements we will make in this presentation are forward-looking statements. These forward-looking statements reflect Planet Fitness's judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting Planet Fitness's business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements included in our fourth quarter 2019 earnings release, which was furnished to the SEC today on Form 8-K, as well as our filings with the SEC reference in that disclaimer. We do not undertake any obligation to update or alter any forward-looking statements whether as a result of new information, future events or otherwise. In addition, the company may refer to certain adjusted non-GAAP metrics on this call. Explanation of these metrics can be found in the earnings release filed earlier today. With that, I’ll turn the call over to Chris Rondeau, Chief Executive Officer of Planet Fitness. Chris?
Chris Rondeau: Thank you, Brendon, and welcome to Planet Fitness's Q4 earnings call. We wrapped up another fantastic year for Planet Fitness in terms of brand growth and financial performance with another strong fourth quarter. Our recent quarterly results were highlighted by 8.6% increase in same-store sales for a 3-year stack comp of 30.3%. This also marked our 52nd consecutive quarter posted in positive same-store sales, an incredible accomplishment for the brand. For the quarter, net member growth contributed to approximately 75% of the increase in same-store sales, reinforcing that consumers continue to be attracted to our judgment free affordable process fitness. For the full-year, same-store sales increased 8.8% or 29.2% on a 3-year stack comp basis. We added approximately 1.9 million net new members in 2019 with approximately 14.4 million members system-wide. Fourth quarter adjusted net income per diluted share grew 29.4% to $0.44, compared with $0.34 in the prior year period, and increased 30.3% to $1.59 for the full-year. Thanks to our asset-light business model, we generated approximately $204 million in operating cash flow, which allowed us to invest in the business, including our headquarter support team and continued technology focused initiatives. And along with our financing activities, returned over $458 million to shareholders through share repurchases. In 2019, we also had a big year in terms of expansion and our well-capitalized franchisees continue to drive our strategic aggressive growth through both new and existing markets. In 2019, we opened 261 locations, a company record consisting of 255 franchise locations and 6 corporate stores. Incidentally, we opened our [indiscernible] location on New Year's Eve and ended the year with 2001 stores. This milestone is an incredible achievement and speaks to the passion and commitment of our entire system, franchisees, their team members in the front line of our stores and our headquarter support team to further our mission of making fitness accessible, affordable and non-intimidating regardless of your fitness level. To put our growth in perspective, in the last five years, our store count has grown at 118% and member growth has grown 137%. We continue to be excited about the long runway for growth ahead of us, as we believe, we have the ability to reach 4,000 locations in the U.S. alone. Outside the U.S., our opportunity is also substantial. Today, our international presence is modest, consisting of 55 stores, mostly in Canada, with a handful in Dominican Republic, Panama, Mexico and as of late last year, Australia. While domestic expansion remains our near-term priority, the pace of international openings is getting speed and we believe, we are well positioned to capitalize on our long-term potential in current and future international markets. Helping fuel our growth is our size and scale of our marketing budget. Along with our differentiated messaging, geared to its first time as a casual gym users, these have proven to be important competitive advantages for Planet Fitness and have further widened the moat around our business. In 2019, between national and local advertising funds collectively with our franchisees, we spend approximately $220 million of marketing, up from approximately $175 million a year-ago. With every new member we acquire, 2% of the monthly dues goes toward our national advertising fund, while 7% goes to local advertising fund, growing our overall marketing machine with each new joint to attract tomorrow's new member. A prime example of our marketing size and scale advantage continues to be our partnership with Times Square's iconic New Year's Eve celebration. This was our fifth year as presenting sponsor of the event, and we believe that having Planet Fitness brand on a global stage, when consumers have health and wellness top of mind drives brand awareness, leading into January, the busiest time of year for our industry. Findings from our annual brand health study confront that Planet Fitness not only remains number one in aided and unaided awareness and gym category, our awareness level continues to increase post New Year's Eve as it relates to our overall marketing strategy. We continue to be pleased with the enhancements we've made to our messaging, creative and channel mix to optimize overall effectiveness in results. Now on to an update on our technology initiatives. In addition to attracting new members to our brand, engaging existing members via our mobile app remains a priority with a focus on driving downloads, app usage and enhanced functionality in future releases, such as referral incentives, in-app messaging, notifications and enhanced account management tools. Features such as upgrades from our classic white card membership to our black card remains an opportunity for us to drive rate. We believe word of mouth marketing, driven by our vast membership base through the referral feature in the app, extends the reach of our marketing machine, capitalizing on our size or scale advantage, it helps to further expand brand awareness in consideration through our 14 million members. Finally, in the fourth quarter, we welcomed our new Chief Marketing Officer, Jeremy Tucker. In January, our new Chief Financial Officer, Tom Fitzgerald, came on board. As you know, Tom succeeds Dorvin, who has served as our Chief Financial Officer since July 2013 and was promoted to Chief Financial Officer and President in April 2017. And Dorvin's continuing role as President, he remains focused on domestic and international store development, our corporate store portfolio and providing leadership for the technology team, who also continue to work closely with Tom and me to execute our strategic growth initiatives and long-term vision for the business. In closing, 2019 was another very successful year for Planet Fitness. We posted strong financial results, opened a company record number of new locations and added approximately 1.9 million net new members, invest in enhancing member experience and collectively, with our franchisees spent approximately $220 million to further increase brand awareness and acquisition. We also strengthened our foundation to support long-term growth by adding people and resources to our franchise support team, bringing on additional leadership to deepen our bench and bolster execution throughout the organization. It is extremely gratifying when our efforts are recognized outside the company to highlight a few. This past year, Planet Fitness has once again received numerous industry accolades, including being named one of the America's best companies for customer service by Newsweek, in ranking among Fortune Magazine's 100 fastest growing companies list as a top performer in revenues, profit and stock returns over the past three years. 2020 is off to a good start, and I'm confident that Planet Fitness is poised to deliver increased shareholder value over the long-term. I look forward to exciting things ahead in building upon our strong momentum. I'll now turn the call over to Dorvin.
Dorvin Lively: Thanks, Chris. Good afternoon, everyone. I'll begin by reviewing the details of our fourth quarter results, highlights from 2019 and discuss our full-year 2020 outlook. For the fourth quarter of 2019, total revenue increased 9.8% to $191.5 million from $174.4 million in the prior year period. Total system wide same-store sales increased 8.6% and from a segment perspective, franchise same-store sales increased 8.8%, and our corporate store same-store sales increased 5.8%. Approximately 75% of our Q4 comp increase was driven by net member growth, with the balance being from rate growth. The rate growth was driven by 120 basis points increase in our black card penetration to 61.3% compared with the prior year period combined with higher card pricing for new joins. The rate growth was mostly driven by the black card price increases over the past two years. The impact from black card pricing drove approximately 190 basis points of the increase in system-wide same-store sales. Our Franchise segment revenue was $73.3 million, an increase of 29.6% from $56.5 million in the prior year period. Let me break down the drivers for the quarter. Royalty revenue was $48.4 million, which consist of royalties on monthly membership dues, and annual membership fees. This compares to royalty revenue of $38.5 million in the same quarter of last year, an increase of 25.7%. This year-over-year increase had three drivers. First, we ended the quarter with 237 more franchise stores compared to the same period last year. Second, as I mentioned, our franchise same-store sales increased by 8.8% and then third, a higher overall average royalty rate. For the fourth quarter, the average royalty rate was 6.3%, up from 5.8% in the same period last year, driven by more stores at higher royalty rates compared to the same period last year. Next, our franchise and other fees were $4.5 million compared to $3.5 million in the prior year period. These are fees received from online to member signups. The recognition of fees paid to us for new franchise agreements, area development agreements, and the transfer of the existing stores and fees received from processing dues through our point of sale system. Also, within franchise segment revenue, is our placement revenue, which was $5.6 million in the fourth quarter compared to $3.8 million a year-ago. These are fees we receive for assembly and placement of equipment sales to our franchise on stores within the U.S. Finally, national advertising fund revenue was $13.2 million compared to $9.2 last year. Our corporate owned store segment revenue increased 13.7% to $41.2 million from $36.2 million in the prior year period. The five million dollar increase was due to higher revenue of $3.1 million from corporate owned stores opened or acquired since the end of the third quarter of last year, an increase in corporate owned same-store sales of 5.8%, contributing $1.7 million and increased annual fee revenue of $1.1 million. Turning to our Equipment segment, revenue decreased by $4.6 million or 5.6% to $77 million from $81.6 million. The decrease was primarily due to lower replacement equipment sales to existing franchise owned stores. Replacement equipment sales were 27% of total equipment sales in the quarter, compared to 37% during the same time last year. For the full year, replacement equipment sales were 25% higher than last year and were 46% of total equipment sales compared to 44% than previous year. Our cost of revenue, which primarily relates to direct cost of equipment sales to new and existing franchise owned stores, amounted to $59.4 million compared to $62.5 million a year-ago. A decrease of 5% which was driven by the decrease in equipment sales during the quarter, as discussed above. Store operation expenses, which are associated with our corporate owned stores, increased to $22.7 million compared to $19.9 million a year-ago. The increase was primarily driven by costs associated with the 9 new stores opened and 16 stores acquired since the end of third quarter of last year. SG&A for the quarter was $20.9 million compared to $20.4 million a year-ago. For the quarter, we leveraged our SG&A as a percent of revenue by approximately 75 basis points and for the full-year by approximately 120 basis points. National advertising fund expense was $13.1 million, offsetting the aforementioned NAP revenue we generate in the quarter. Our operating income increased 16.7% to $61.6 million for the quarter compared to operating income of $52.7 million in the prior year period. While operating margins increased 190 basis points to 32.2%. Our GAAP effective tax rate for the quarter was 24%, compared to 15.6% in the prior year. As we've stated before, because of the income attributable to the non-controlling interest and not taxed at the Planet Fitness corporate level and appropriate adjusted income tax rate would be approximately 26.8%, up 20 basis points from what I discussed on the last call. On a GAAP basis for the fourth quarter of 2019, net income attributable to Planet Fitness Inc. was $29.7 million or $0.36 per diluted share compared to net income attributable to Planet Fitness Inc. of $24.8 million, or $0.29 per diluted share in the prior year period. Net income was $34.3 million compared to $28.8 million a year-ago. On an adjusted basis, net income was $39.2 million compared to $32.5 million in the prior year period, an increase of 20.6%. Adjusted net income per diluted share was $0.44 compared with $0.34 per diluted share in the prior year period, an increase of 29.4%. Adjusted net income has been adjusted to exclude nonrecurring expenses and reflect a normalized tax rate of 26.8%, and 26.3% for the fourth quarter of 2019 and 2018, respectively. We’ve provided a reconciliation of adjusted net income to GAAP net income in today’s earning release. Adjusted EBITDA which is defined as net income before interest, taxes, depreciation and amortization, adjusted for the impact of certain non-cash and other items that are not considered in the evaluation of ongoing operating performance increased 23% to $76.6 million from $62.3 million in the prior year period. A reconciliation of adjusted EBITDA to get net income can also be found in the earnings release. By segment. Our Franchise segment EBITDA increased 30.8% to $50.7 million, driven by royalties received from additional franchise owned stores, not included in the same-store sales base and an increase in franchise owned same-store sales of 8.8%, as well as a higher overall average royalty rate. Our franchise segment adjusted EBITDA margins increased approximately 85 basis points to 69.5%. Corporate owned store segment EBIDTA increased 3.6% to $15.1 million, driven by the 5.8% increase in corporate same-store sales, higher annual fees, the nine new stores opened and stores acquired since the end of the third quarter of last year. Our corporate store segment adjusted EBITDA margins increased by approximately 75 basis points to 43.2%. Our equipment segment EBITDA decreased 1.7% to $18.7 million, driven by lower replacement equipment sales to existing franchise owned stores versus a year-ago. Our equipment segment adjusted EBITDA margins increased by approximately 100 basis points to 24.3%. Turning to the full year, let me quickly summarize the highlights for 2019. Revenue increased 20.2%, system wide same-store sales were up 8.8% on top of a 10.2% increase in 2018 -- for a 3-year stack comp of 29.2%. Corporate stores same store sales increased 6.1%. Our average royalty rate for the year increased 50 basis points to 6.1%. We placed equipment in a record $263 million new stores and replacement equipment sales increased 25%. Our adjusted EBITDA increased 26.4% to $282.2 million. We bought back and retired 6.1 million shares of Class A common stock and our adjusted net income per diluted share was up 30.3%. Now, turning to the balance sheet. As of December 31, 2019, we had cash and cash equivalents of $436.3 million compared to $289.4 million on December 31, 2018. We announced a few transactions throughout 2019 that impacted our overall capital structure. In December, we completed an additional securitized financing transaction, which resulted in the issuance of $550 million of 10-year notes. After expenses related to the transaction of approximately $11 million, the net proceeds from this transaction were approximately $539 million. Total long-term debt excluding deferred financing cost was $1.74 billion at December 31, 2019. As I've previously stated, we believe the appropriate capital structure for the company would be a targeted gross leverage ratio in the range of 4x to 6x adjusted EBITDA. This is based upon the free cash flow generation of the business, our asset light model and our long runway for continued growth. Our gross debt to adjusted EBITDA leverage ratio as of 12/31/2019 on a trailing 12 months basis was approximately 6.1x. Shifting to our share repurchase activity, we closed out the 2018 share repurchase authorization in Q3 of 2019. As previously announced in November, the Board approved a new $500 million share repurchase program. In December. we announced that we entered into a $300 million accelerated share repurchase agreement, which we expect to conclude in Q2 of 2020. For the year, we utilized $458 million, three purchase $6.1 million shares and have $200 million remaining on our 2019 share repurchase authorization. With respect to cash used in investing activities, our total net spend in 2019 was $111 million, which included approximately $53 million or the 16 franchise stores we acquired during the year, including 12 in December. Additionally, we incurred approximately $17 million for new corporate stores, including 6 opened in 2019 and $23 million on our existing stores, including $7 million for replacement equipment. We incurred approximately $17 million on I.T. infrastructure investments in 2019. Now to our outlook. For the year ended December 31, 2020, we currently expect revenue to increase approximately 12% over the 2019 levels, driven by same-store sales growth of approximately 8% and the placement of equipment in approximately 240 new stores. In terms of quarterly cadence, 2020 will be different than 2019. In Q1, we expect to see new equipment placements lower by approximately 10 to 12 new stores with quarter to flat to slightly up. As our line of sight becomes clearer through 2020, we will update our new equipment placement outlook. Replacement equipment sales are projected to be slightly less than 50% of total equipment sales, compared with 46% in 2019. Additionally, we expect our average royalty rate to increase approximately 30 basis points over 2019 levels and expect the black card pricing to drive an approximately 200 basis points increase in same-store sales. With respect to profitability, we currently expect adjusted EBIDTA to grow approximately 15% and adjusted earnings per share to increase approximately 16% compared with 2019 levels. Our adjusted earnings per share guidance includes approximately $0.07 of dilution related to the 2019 securitize financing transaction. Excluding this impact, we expect adjusted earnings per share to increase approximately 20%. This guidance is based on a fully diluted share count of 87.7 million shares and assumes no additional share repurchases and includes net interest expense of approximately $70 million consisting of $80 million in interest expense and $10 million in interest income. For 2020, we anticipate CapEx to be approximately $65 million, including approximately eight new corporate stores compared to 2019 or 2020 spin includes approximately $13 million of additional expenditures on corporate owned stores with no acquisitions planned and approximately $6 million less on IT infrastructure investments. I'll now turn the call back to the operator for questions.
Operator: [Operator Instructions] And your first question is from Oliver Chen with Cowen & Company. Thank you. Please go ahead.
Unidentified Analyst: Hi. This is Jonah [ph] on for Oliver today. Thank you for taking our question. Just curious on your new store guide of 240 versus 260, in '19, just what you're seeing in terms of this year and what's leading to that guide? And also in terms of your 8% guide, how much is attributable to the price increase and how are you thinking about the new membership growth as you're also making changes to your marketing strategy? Thank you very much.
Dorvin Lively: Yes. Thanks, Jonah. This is Dorvin. So when we took a look at the way we got it in the past, we'd look at kind of what's in the pipeline, what's in line of sight. And based on where our franchisees are with respect to the deals are working on and kind of the history of their franchisees, we decided to, to get to the 240. So a couple of things that come in. One is we still have over a 1,000 in the pipeline and about half of those are in the next three years. So that’s consistent with the past. In terms of, factors that would affect development such as real estate, any of these other kind of factors we've talked about in the past, we don't see any deterioration of any of those things that necessarily would slow that down. Timing is such a huge element when it comes to real estate and really pipeline deals. We did guide slightly lower in Q4 -- Q1 rather, this year. Q1, 2019 was the highest number of placements the company's ever had. And the implied guide that we have now would still be higher than it was back in 27, and 2018. And then I think the last point I'd make is, is that the guide we have as of right now is even higher than it was this time last year. So as we did last year, quarter by quarter, as we get more insight into kind of that line of sight, which is generally about a three to six month kind of time period. And then we'll update our guidance as we go throughout the year, but we feel very good about the economics of the model, or the franchisees or continue to deploy capital and building out their markets. But we think 240 is kind of an appropriate number for right now. In terms of your same-store sales question, the 8% guide includes approximately 200 basis points related to the black card pricing, which is a combination of both the $2 pricing increase back in '17 as well as the dollar price that we took back in early September of last year.
Unidentified Analyst: Thank you.
Operator: Your next question is from John Heinbockel with Guggenheim Securities. Your line is open.
John Heinbockel: Hey, guys. Can we start with your take on member growth this year. Obviously. opening a few less clubs, but you think the member growth tracks close to what you had this past year a little bit less. And then from a seasonality perspective, right, it's becoming gradually a little less first quarter centric and more in 2, 3 and 4. Do you think that continues in '20? That gradual shift away from the first quarter?
Chris Rondeau: Yes. John, its Chris. Yes, we still see the seasonality doesn't affect it quite like it used to that we mentioned last year where the summers aren't quite as a follow-up as you want to see 3 years ago. But I think what we've learned back on the marketing front from third quarter, as we've talked about in the last year, from the marketing mix and driving acquisition, we feel really good on the changes we had made in the reallocations from NAF dollars and those learnings into this year. So we're really pleased with the momentum we're carrying.
John Heinbockel: Okay. And then maybe secondly, talk about your thoughts on teen summer challenge. kind of year two here. In terms of, how you get started, what you do differently on the marketing budget. And then, I mean, I would think that it would be more impactful this year, right, that 900,000 would go up and the 60,000 member lift would go up as well. But maybe you talk about how you're going to attack that?
Dorvin Lively: Yes, we're definitely relaunching it again this year, for sure. We continue to get many accolades and awards, even just as early as last week from a Golden Halo Award, we got granted for it. So it's a great initiative that we'll do this year. The beauty of it now is you now have, hundreds of thousands of kids, teens are now redirect to go after and parents, as we mentioned before, e-mails that we're launching. So we have, a base already baked in that we can go after and say, you know, we're relaunching crumby., The first of the teens in the U.S. to activate your second free summer, So there are a lot of issues around that to get more momentum. So hopefully we blow that 900,000 teen number out of the water. At top of that, we're going to use our new app actually to on the onboarding process for the teens. So they will actually check in, almost feeling like a real true member with their barcode on their app and some team content. So we're looking forward to a little bit more structure around how we capture or interact with the teams just go around.
John Heinbockel: Okay. Thank you.
Dorvin Lively: Thanks, John.
Chris Rondeau: Thanks, John.
Operator: Your next question is from Ran Konik with. Your line is open.
Randal Konik: Yes. Thanks, guys. I'm just curious, Dorvin, is there -- I think you said that black card penetration was up about 120 basis points year-over-year. Is that correct?
Dorvin Lively: Yes. The end of the year by 5%, yes.
Randal Konik: Yes, I think that's kind of gone up a tick more than being more flattish. Is there anything kind of that you're seeing in a way that you're going about kind of approaching conversion of white to black? Any amenities being added more than in the past at locations? And as you think about the future, are there other areas or amenities that your customers or your members are asking for that are a little bit outside the box that you're kind of thinking through that could be more impactful for them as you continue to think through of innovative ways to kind of continue to grow more things for those members to keep them happy and talk about those benefits to other potential members in the future? Can you give us some thoughts there, please?
Dorvin Lively: Sure, Randi. You know, we've talked a lot in the past about, kind of the biggest values out of the black card membership. Clearly, reciprocity is the number one benefit. And as we just continue to add more and more clubs and now over 2,000, the availability and the more likelihood of using that, whether it's you yourself, you wanting to, use a club closer to home, closer to work, or just the fact that, you have friends or someone that you want to take that might be at another location. So the big value of reciprocity and [indiscernible] would just continues to increase. And you've heard us talk about that's really why we took the first price increase. And then basically two years later, we tested again and took the dollar increase. And in both cases, we continued to see the black card percentage increase. Quite frankly, even more so than what we were doing the pilot. So I think it speaks to the value of the actual benefit you get from that, just with the scale that we continue to have was we open more stores. Second thing is, is that we continue to sign up more members online year after year through our web join process. And there's a higher propensity of those members to join as a black card member when you join online on a percentage basis versus when you join in a club. So you kind of got a little bit of built-in momentum there. And then, I think the last thing I'd say is that, clearly over the last four or five years or so and continue to do so today, we continuing building really nicer black card spa areas than where we had been if you go back years ago when that black card percentage was less. And we always are looking for other options to add, kind of in the club that would cause you if, you -- you come in and do a tour and you want to join, we want to be able to present that value proposition that would hopefully drive you to -- to take the black card membership. I think down the road, to your point of kind of maybe the wish list or what people might want, we've talked in the past, Chris and I about, digital content. And you walk into our club today, you'll see people that are -- they're consuming data off of their cell phone, leaning up against the wall or on the treadmill. They're looking at various types of content, whether it's, exercise and fitness or entertainment, whatever the case may be. And as we continue to enhance what we can offer through our mobile app, we want to be able to offer content that can be consumed not only in the club, that most likely would require black card membership to get full access to that. And then maybe content that's kind of on the go as well that could be consumed outside the club. So those are the things that as we think about our overall strategy and then particularly, to drive more black card members, those are the pieces to the puzzle.
Chris Rondeau: I guess the only thing I'd add to that is the new [technical difficulty] I think the only I would add to, Randy, as with the app now, the only way you could upgrade your membership to a black card would be physically walk into a facility and go to the front desk and have a staff member upgrade you with the app. Today it is a one click upgrade option. So as more people adopt the app, the convenience of being able to upgrade on the fly is already proven to be really beneficial. Yes, we should get more people upgrade and adopt the app for one click option to be able to get it is an easy way to upgrade.
Randal Konik: Great. And just one last question. On -- I think you said in the past you used bucket and what have you to help with thinking through the long-term opportunity on real estate. Have you contemplated doing any updated work there? Perhaps in a more -- kind of a more micro level basis, kind of looked at specific different densities in different parts of the country, for example. Now if you say your highest density is in, New Hampshire. I'm assuming, I’m not sure. How that, the density work may look where you could have added kind of unit opportunity than previously contemplated when the work was done, I don’t know, four or five years ago. What's the update there in terms of density work or that you're either doing or potentially doing and thinking through long-term real estate opportunities for the business?
Dorvin Lively: Sure, Randi. You're right. We used actually -- used Buxton and today we use a company called Tango, which really incorporates a lot more data inputs that we can put in about site location, a lot of other factors, including, population density, drive times, income levels, etcetera. So it's a more powerful tool for us and for our franchisees to use as we do our market planning. But I think what I would say is, is that if you go back, at the time of the IPO, we said that we had over a thousand stores in the pipeline. And look at the number of stores we've opened in the last four years or so now. And we still have over a thousand stores in the pipeline. So what we do in concert with our franchisees is either voluntarily they come in and they say, I bought a fifteen store area development agreement and I built 10. I think I can do 10 more. And so we amend their agreements and add more locations. And today, we can do that in a much more sophisticated way with these tools. So it's all the way from things like having access to third party data with -- Yes, they track cell phone usage. How many people and how many cell phone devices are in parking lots, where they're coming from, where they're going. We've done some studies with consumer intercepts. And in our centers where we have stores, we know where they shop within the center. We know if they -- if this is the first time that they really ever shopped in this location because they joined Planet Fitness or vice versa, that they -- this is a kind of their home shopping center, so to speak. And then all of a sudden we open in the center, so they join Planet. So we have a lot of data that we can then take back to the -- these landlords and reads and prove to them that, the old fallacy, the parking lot Hogg's of, back in the day is no longer reality. And quite frankly, they are trying to find, retailers that are not only wanting to take space, but are driving traffic. And we've even been able to get a number of our landlords and REIT and centers where we wanted to go into to give up their exclusion for, fitness centers, which you back in the day was kind of a given that they wanted to protect their parking. So I think the net-net of it, Randy, is that one is, we have obviously all the data to know, the population density and then our penetration within the market. And what percent of that penetration of the population do we have within a twelve to fifteen minute drive time, which is kind of the sweet spot. And then we can see where we're not. And that's how we do the market planning to maximize the number of stores that we think we can put in that market. And as a number of the franchisees have monetized over the last two or three years. We're bringing in private equity. We've resized all those markets that were those area development agreements got sold and resized them based upon, in essence, much better data that we have today, not only with more stores, more members, but with more sophisticated tools as well.
Randal Konik: Very helpful. Thanks, guys.
Dorvin Lively: Thanks, randy.
Chris Rondeau: Thanks, Randy.
Operator: Your next question is from Jonathan Komp with Baird. Your line is open. Jonathan Komp [indiscernible].
Jonathan Komp: Yes, thank you. Hello?
Chris Rondeau: Hey, Jon.
Jonathan Komp: Hi. Sorry about that. I wanted to first ask on the comps. I look at the last two quarters, it looks like things have stabilized and accelerated a little bit in the fourth quarter and now obviously pretty different approach to the marketing so far in 2020. So just maybe wanted to hear your thoughts on what you're seeing and how you're planning comps for the year here?
Chris Rondeau: Well, I would say it was approximately 8% of what we're forecasting to this year. And I think you're right, I think towards the fourth quarter we saw some momentum in -- on the findings of that, we looked at our data that supported our spend on digital and moving some of that into more TV and specifically cable advertising, which is one of the bigger shifts we did. And I think even in the January sale you saw I think -- you're putting -- I could go away from the TV commercial at the time put on TV. So I think you saw quite a bit of change here from the previous year. So I think the momentum is good. We're happy with how the year started and come from fourth quarter for sure.
Dorvin Lively: I think the only thing I'd add to that, John, is that kind of implied in that guide of about approximately 8%, we anticipate about 200 basis points or so related to pricing for 2020. And I think that when you kind of back that out, you're really not all that far off for the last couple of years or so on -- at least on an annual basis of kind of the non-pricing related comp. We think probably about, 75% of our growth will be member growth as kind of where it's been fairly recently with still some pricing, embedded into the -- some lingering on the $2 and then the $1 that we've talked about at the end of Q3 last year. But the other factor is, as we've also talked about, we just have another, 250 some odd stores that are in that base of stores on the comp waterfall that comps in that low to mid single-digit range.
Jonathan Komp: Okay, great. And then maybe a separate question on the unit growth outlook. I guess, one question I had -- maybe bigger picture. I know the annual unit growth has been a part of the annual incentives at the executive level. I just wanted to ask maybe if that still is the case? And if it is, how those targets align with the targets that you've put out for the guidance here for the year?
Chris Rondeau: Yes, we have different incentive factors that depending on the pyramid that, that you work in functionally. But clearly, store openings and placements is a critical factor. Same-store sales is also an element of that as well as EBITDA to drive, drive profits to the bottom line. So it still is a factor in our overall compensation plans.
Jonathan Komp: Okay. Got it. All right, thank you.
Chris Rondeau: Thanks, Jon.
Operator: Your next question is from Sharon Zackfia with William Blair. Your line is open.
Sharon Zackfia: Hi. Good afternoon.
Chris Rondeau: Hi, Sharon.
Sharon Zackfia: Two different sets of questions. So I guess first on equipment. I didn't hear you mention anything about supply chain challenges with China. So if you could just talk to us about supply and whether or not you feel good about the equipment you have to facilitate new unit openings and replacement demand? And then should we expect as well equipment revenue to be down in the first quarter of placements are down. And then secondarily on marketing. You have a huge ad budget. And I'm just wondering, as you delve into optimization, they are kind of where the next legs could be on more optimization for the money you're spending.
Dorvin Lively: Yes, Sharon, I'll take the first part. And Chris can talk about the marketing. I mean, we're having, fairly regularly contact with our suppliers as you can imagine there's a lot of companies are right now. We've been assured by all three of our manufacturers that they have plenty of supply in the distribution centers or in transit to get us all the way through the end of Q2. So we have plenty of supply for Q1 and Q2 at this point. And we continue to monitor that on a regular basis. In terms of revenue for Q1, revenue will be down. I mentioned we'll have, say 10 to 12 placements less this year than the highest we've ever had, which was in Q1 last year. We do expect that our replacement equipment sales on a full-year basis will continue to grow this year. It was about -- this past year of 2019, is about 46%. We think it will be a bit higher in 2020. That is a little bit lumpy quarter by quarter. But we do expect a slight decrease in sales on Q1.
Sharon Zackfia: Okay. Can I ask a follow-up just on that before the marketing question. What is all of the equipment assembled or made in China? And if you had to prioritize, would you prioritize new unit openings relative to replacement equipment, if you are kind of limited in supply at some point?
Dorvin Lively: Yes, so we -- our franchisees have the -- they have the election to choose any of the three manufacturers for new equipment. They can pick any of the three. And a lot of the equipment is actually manufactured in the U.S., some in Taiwan and a little bit in Europe. But a lot of it is in the U.S. So they can do that. And then when it comes to re-equipping their clubs, they also can do that. We don't let them kind of pick and choose. You can't replace some pieces with one brand and then some pieces with another brand, because we'd like the consistency of the branding from a member facing experience perspective. But we're not at a point where we think we will ever have to prioritize that. But we as I said earlier, we’ve been in contact with these guys, not daily, weekly, just to make sure that we've got enough supply on hand. And they've assured us that we don't have any issues to get through Q1 and Q2. And quite frankly, we're probably the most important customer some of these guys have in terms of volume on an annual basis. So we get some prioritization with respect to our manufacturers.
Chris Rondeau: On the marketing front, Sharon. Actually, we did the New Year's Eve, we renewed that contract for two more years. We also did the biggest Loser this year, which they brought that back, that started into January, another integration there. I think the bigger lever we have is we started to collect it and towards the tail end of last year, although we've got the spends with the franchisees we're doing locally, it was more than means and methods that we weren't capturing as diligently. So learning best practices around the system so that we can figure out in guide franchisees on their local spend for the 7%, what tactics they should be using. So they were all aligned in all roles in the same direction that I think is a bigger lever for us to be pulling this year and in the future.
Sharon Zackfia: Thank you.
Chris Rondeau: Thanks.
Operator: Your next question is from Peter Keith with Piper Sandler. Your line is open.
Peter Keith:  Hey, good afternoon, everyone. Nice quarter here. Just asking a question more on the revenue growth outlook? Hopefully it's not an easy answer that I overlooked, but why is the revenue growth guided at 2% this year versus 15% at the start of last year with what looks like a fairly in-line comp outlook to last year?
Dorvin Lively: Yes, it's I mean, the equipment, the total equipment, the total revenue number obviously is impacted in a big way by the equipment sales. That's the reason I made the comment to Sharon's question a while ago that we expect overall the replacement as a percent of the revenue to be up on a year over year basis. But this year in 2019 when we placed around 260 in total, so it's down. Call it 20 new stores on a year-over-year basis. That's really the only factor that's driving down revenue. I mean it's offset by growth in our other segments. But the biggest increase is coming from the guide of approximately 240 new stores.
Peter Keith: Okay. Does that carry forward to the EBITDA and net income guide? They are also -- this year a little bit lower than how you started last year? Or are there other expenses that you should be aware of.
Dorvin Lively: No, it's really a pretty straightforward flow through. Call it a, 23% to 24% kind of margin business. There's not a lot of the SG&A in that segment. So when you take that in and flow through your model, really on a year-over-year basis, the only other change is, is the cap is the debt structure. And we -- in my prepared remarks earlier, I address kind of what the total gross and net interest expense we expect in 2020. But those are really the only other factors affecting the model.
Peter Keith: Okay. That's helpful. I just want to pivot then to some of the comments you made around the app. It seems like there's some interesting benefits that are helping your business. I was wondering if you were able to assess what the penetration of app usage is today maybe versus where it started, 2019 and the words you like, where you'd like to get it to over the next year or so.
Chris Rondeau: Yes, I mean it's still a small -- at least rolled. out the tail of last year, so it's a couple of million active users. So it's really just starting off here, but we're really focused on new join. How do we get them onboarded correctly. That’s our main focus, I mean, the current members are one thing, but the newer members as they’re joining, how do we get them just start using it right off the bat, so that you can capitalize on it. And you're right. Whether it's the upgrades referral function to I mean, you think we never really had a formal way for a member to refer another member. And when we’ve a huge volume of join, however, they tell their friends and family that they joined, and hopefully offer them an incentive through them to join. So just have some really deep tactics there. So now it's just a matter of getting everybody on board and so that we can capitalize on them. And we haven’t rolled out messaging or in-app messaging and notifications. So once we roll that out, be able to speak to our members about promos we run so they can refer people. You can't underestimate they will a 14 plus million members here with so much larger than even our competition that, it's such a huge member base that if you can talk to them and offer them incentives, that in itself and word of mouth marketing is just a powerful tool that no one else in the industry has.
Operator: Your next question comes from John Ivankoe with JPMorgan. Your line is open.
John Ivankoe: Sorry about that, guys. The cost of incremental debt would suggest that any acquisition of already established franchise clubs would actually be accretive to earnings, I mean just by the straight math of it. So is there a number that you guys think about in terms of the number of company clubs that you would want to operate in the United States? Or maybe there's a percentage of the total gyms that it's just in the United States that you would potentially want to operate in? Would you consider actually owning any company stores internationally, given what your overall cost of incremental debt is?
Dorvin Lively: Yes, it's a good question, John, and we get this a lot, obviously, from both sides of the equation. I mean, there are some investors will question why we have any. And, you know, that's a good answer. To good answers. So that one is it really is a great kind of R&D lab for, so to speak, because not only can we test things, but we've got a lot of people that work in our corporate office or now work out in the field with our franchisees that, you know, kind of grew up on the corporate store side. So they understand the business and can be great. Great business coaches to our franchisees. So it's good to have that. Secondly, we've gone down a strategy of saying we would like to operate some stores in most geographies so that we understand the different aspects of those geographies all the way from, we have a store in downtown Boston, as you know. So we have an urban store. We have a couple of stores and really fairly high crime area in Oakland that you know quite well. We have stores in rural Pennsylvania and stores in New York and a lot of stores in New Hampshire, which is very rural. And so we -- it gives us a good read and a good kind of pulse on how the business operates in different geographies. In terms of the strategy, we have a roper on every single location. And we take a look at not only does it make sense if a franchisee decides to sell? And we're nearby, that that's kind of a no brainer to take a look at. And sometimes we've done that and we did a couple of acquisitions last year. But we're also looking at some of the better operators and some of the locations where, there's some pipeline that could be built out incremental stores. And maybe it's a market where if we could dominate that market and kind of build the moat around us by building out stores and kind of getting there first, even in a -- if you take a -- kind of a decent sized city, you got a lot of stores you could build there. We'd rather be first to market within that, kind of shopping hub, so to speak. So we will continue to do that. We don't have a set number of stores that we would target in any year. And in fact, our guidance for the year does not assume that we would buy any corporate stores. But when those opportunities come up, because quite frankly, the EBITDA that they generate is, it's pretty significant. We know everything about the store, we know the members. The operating cost are pretty easy because it's pretty much the same from store to store, but it's something we're going to continue to focus on. And, I don't think we have to be the largest, but I do believe, Chris, and I've talked about this a lot, that we have historically been one of the larger groups. We'd like to stay kind of up in some of the larger groups and be a key player of our brands in some of those markets where we have stores.
John Ivankoe: And we've seen restaurants go from what used to be, kind of 20% need to own in terms of understanding markets that are well under 5%. I mean, is there kind of a percent just in terms of a philosophy that you would like to commit to? And then secondly, for the record, my sister does say that, the high crime area in Oakland is much less high crime than it used to be as that area has significantly changed. So thank you for that comment.
Chris Rondeau: Let's go John. I appreciate that and keep telling us how it's going. I think the way we look at it, John, is that, we are an asset light model. We generate a lot of cash. We've said we want to return cash to shareholders, but yet we are and have deployed capital in buying some of the stores. There's a lot of strategies of markets where you have some, one season, two seasons, so to speak. And it makes a lot of sense, whether it's us or a franchisee, to control that market. We're looking at that as well as working with franchisees to kind of dominate the market with one or two operators. I think when you get up into probably the 20%, 25% range in that, that starts to get maybe a little bit high. But I think you would say just because, you know, the QSR business so well that there's not many franchise businesses out there that generate high 30s or 40% EBITDA margins. So, you could make an argument that that in terms of kind of the way investors tend to look at it, maybe you look at our business a little bit different, but we're under 5% today. And I would say over time, we probably would increase that percentage a little bit.
John Ivankoe: Perfect. Thank you.
Chris Rondeau: Thanks, John.
Operator: Your next question is from Rafe Jadrosich from Bank of America Merrill Lynch. Your line is open.
Rafe Jadrosich: Hi. Good afternoon and thanks for taking my question, guys.
Dorvin Lively: Hi, Rafe.
Rafe Jadrosich: I just want to follow-up on the question in terms of the priorities of capital allocation. How do you think about the buyback longer term in terms of whether it's accretive to you on a near-term basis or not? Does that matter to you when you're deciding whether to buy a club or buy back stock?
Dorvin Lively: Yes, I think, Rafe, the way we think about it is, the acquisitions that we've done historically, we've all been in the, call it 5x to 7x EBITDA. And obviously, we're trading at a much larger multiple than that. And that kind of goes to John's question that I just answered in that, you could make an argument to buy a business all day long at, 5x, 6x, 7x EBIDTA when you're getting the kind of multiple valuation that we're getting. And rightly so because we've been able to take stores and in essence, you can generate with the kind of comps we are generating, they just become more accretive. So on the one hand, we -- we haven't deployed a significant amount of cash in that area, but that's something that albeit not embedded into our guidance or our budget for 2020. We will always look at all the ropers that come along. In terms of the way we think about the broader strategy of capital allocation, we've stated this now since, the last couple of years or so that we will return cash to shareholder. And in fact, we've done so well north of $400 million last year and over 6 million shares. It is dilutive to 2020. And I mentioned that in my remarks. We believe that over time it's the right thing to do. And if we can keep growing comps, we have the confidence in our business, we have a confidence in our pipeline, this business will generate so much cash flow that we believe that's sort of the right thing to do. We have had conversations with our Board about the right priorities of capital allocation, and those discussions have always been around stock buybacks, dividends and then deploying capital in terms of like corporate stores, both organic as well as acquisitive. So far, obviously, the bigger piece has been cash return via shareholder purchases or stock repurchases. And we'll continue to look at all of those options every time we meet with our Board and have a capital allocation conversation.
Rafe Jadrosich: Okay. Thank you. That's very helpful. And then, Chris, you mentioned international growth accelerating this year and then going forward, can you talk about within the guide like how many of the openings will be international versus domestic? And then can you sort of go through some of the key markets between Mexico, Canada and Australia and talk about what you see there in terms of the long-term potential, given the comparative to the U.S?
Dorvin Lively: Yes. I'll take a stab at it and Chris can add to it. So last year we opened 261 stores. Out of that, 16 were international. So it's still a small percentage. We ended the year with 55 stores, mostly in Canada, as we've talked about. So that's where we have 44 stores in Canada. Last year we opened 12. And then we just most recently at the end of the year, as we talked about Australia, so we have two stores opened there. In terms of the opportunities and the way we currently see international, clearly, Canada, we've sized it at about 300. So it's a really important country for us. And now with a base of 44 stores and growing, starting to get more scale and there's things that you can do with scale that you can't do when you only have just a small number of stores [indiscernible] be it in this case, let's say, Mexico or even Australia. But Mexico, we also believe is a really important market for us. We do extremely well in a lot of Hispanic markets from Southern Florida to Southern Texas and California. And the stores we have down there at the moment, we think -- I mean, they do very well and we think our brand will resonate in that as well. So we're opening some more stores in the [indiscernible] area, testing kind of some different income levels to try to determine exactly where our brand can really excel in different economic structures down there. But those are really probably the two markets at the moment that have kind of the biggest opportunity within most recently, as I mentioned, just going into Australia.
Operator: Your next question is from Joe Altobello with Raymond James. Your line is open.
Joe Altobello: Great. Thanks, guys. Good afternoon. I guess first question, Dorvin, just want to go back to the comments you made earlier about marketing and the fine tuning of the marketing that needs to be done at 2020. And I know you guys have done a very good job of reorienting the marketing effort back toward traditional and cable TV, for example, in a way digital. But beyond that sort of high level, what other fine tuning do you guys see happening at 2020 on the marketing side?
Chris Rondeau: Yes, more around -- this is Chris, actually. The -- you may recall last year we did a big market segmentation study on our member base and categorize our members into five different buckets, and learned a lot about TV channels, retailers as they shop at and so on and so forth. So not only have we directed more towards cable and from digital, but also fine tuned what particular channel networks we're actually going to be on besides network television being ABC or NBC [indiscernible] about Food Network, History Channel A&E goes on the big list of them, insights that we really didn't have before. So we fine tune a lot of that part of it and use that for -- and last year as well as 2020.
Joe Altobello: Got it. Okay.
Joe Altobello: Got it. Okay. Just one more on productivity. And this sort of goes back to the commentary about opening 240 new stores this year versus 260 last year. If you look at the productivity of your recent new store openings compared to some of the older core -- older cohorts, how do they stack up? Is the productivity improving on the newer stores?
Dorvin Lively: Yes, I'd say if you look over the last, call it three years, four years or so, and you look at kind of the comps of older stores versus how stores kind of get out of the gate, there hasn't been any significant difference. And you know, we get this question a lot in terms of if you are in a higher market penetration, kind of area of the country where we have more stores and therefore more higher percentage of the TAM, it we don't see really any significant difference from that than we do in a market where you have a lower percentage, which comes back to why we keep saying that we continue to have confidence and kind of that 4,000 potential in the U.S. And we haven't looked at our 100 older stores in the system and our 100 older stores, which goes way back. Actually, last year outperformed even the more mature stores, older, older than, say, 3 or 4 years old. So not only are we seeing, kind of those newer stores and then kind of year 2, 3, 4, 5 year ramp, even the $100 stores continue to comp positive and in fact, higher than some of the mature stores. So I think it speaks to a number things. Its more and more marketing dollars, as Chris just talked about, going into a market, obviously, in those store -- in those markets where some of the older stores are, we have a lot more stores today. So you have the availability of reciprocity. So you got the black card penetration contribute to the total revenue and then therefore the comp. But it just speaks to the power of the brand as we go into more and more markets, including some of the oldest we have and some of the highest penetrated markets we have today. And we feel really good about how our store performance has been and feel good about what it's going to do even this year.
Joe Altobello: Great. Thank you, guys. I appreciate it.
Chris Rondeau: Thank you, Joe.
Operator: Our last question comes from Simeon Siegel with BMO Capital Markets. Your line is open.
Simeon Siegel: Thanks. Hi, guys. Any color you can share on what percent of black card members are still grandfathered in at the lower rates? And then just congrats on an ongoing SG&A leverage. Can you -- how are you thinking about that for line item for next year? Thanks. 
Dorvin Lively: Yes. We don't break out the, I guess, the layers of our pricing. We give what our total black card is versus our standard classic membership. But I mean we still have a pretty good sized numbers at the $19.99 membership as well. You know we've talked about in the past as to maybe there's some stickiness to that and over time we'll see, because it's only been now, nine quarters I guess since we put that price in effect. But we don't break out that. What was the second part of your question?
Simeon Siegel: How are you thinking about SG&A the next year?
Chris Rondeau: SG&A.
Dorvin Lively: Yes, I mean, we -- yes, we -- and we had -- if you remember back in Q3, we said we get leverage for Q4 and then the full-year. I think that we will -- based on our guide, we believe we'll continue to get some leverage this year.
Simeon Siegel: Great. Thanks a lot, guys. Best of luck for the year.
Chris Rondeau: Thank you.
Dorvin Lively: Thank you. I appreciate it.
Operator: This does conclude the Q&A period. I'll now turn it back over to Chris Rondeau for any closing remarks.
Chris Rondeau: Great. Well, thanks, everybody, for joining the call today. And it was a record year for us. We brought 2,000 stores, so we’re happy with that number as well as the record year opening of 261. I'm really pleased with the changes in marketing and the performance there and look forward to Q1 release. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.